Operator: Good day and welcome to Atento's Second Quarter 2019 Results Conference Call. The call will begin with prepared remarks by management followed by a question-and-answer session. [Operator Instructions] I will now turn the call over to Shay Chor, Corporate Treasurer, Investor Relations Director for Atento. Sir, please go ahead.
Shay Chor: Thank you. Welcome everyone to our fiscal 2019 second quarter earnings conference call. Here with us for today's call are Carlos Lopez Abadia, Atento's Chief Executive Officer; and Mauricio Montilha, Chief Financial Officer. Following the review of Atento's financial and operating results, we will open the call for your questions. Please turn to next slide. Before proceeding, please know that certain comments made on this call will contain financial information that has been prepared under international financial reporting standards. In addition, this call may contain information that constitutes forward-looking statements, which are not guarantees of future performance and involve risk and uncertainties. Certain results may differ materially from those in the forward-looking statements as a result of various factors. We encourage you to review our publicly available disclosure documents filed with the relevant securities regulators. And we invite you to read the complete disclosure included here on the second slide of our earnings presentation. Our public filings and earnings presentation can be found at investors.atento.com. Please note that unless noted otherwise, all growth rates are on a year-over-year and constant currency basis. I will now turn the call over to Carlos.
Carlos López-Abadía: Thank you, Shay. And good day everyone. Thanks for joining us today. We're discussing our second quarter results and progress against our transformation plan. Let me start by saying that we're pleased with both the results and the progress. On normalized basis, we had sequential improvements in revenue, 2.7% quarter-on-quarter growth; and EBITDA, 16% quarter-on-quarter growth. Importantly, Multisector continues to lead growth with a 7.3% year-on-year revenue increase, continue to help us to diversify our revenue base, which now stands at 63% and growing Multisector. We also had a strong improvement in operating cash flow from Q1, generating $25 million in Q2, which allowed us to proceed with confidence with the completion of acquisitions of RBrasil Interfile. With these results and the progress of our transformation plan, we felt very confident to resume the stock buyback program in June. Before I turn over the call to Mauricio, I would like to update you on the progress of our transformation plan. We continue to develop and execute the plan that we outlined in our previous earnings calls. The bulk of our efforts have been directed at the first area, operational improvements. We're also beginning to get traction on the second area, next generation services and digital acceleration.  Following an extension review and analysis of our operations, we have examined the areas where our opportunity for improvement is most immediate, and those where the structural changes will give us the biggest, longest lasting impact. We have identified in these opportunities to optimize our costs in both SG&A and external spend, in which we're already executing. We have instituted a new global governance system, taking advantage of our global breadth and focus on rigor and accountability. You may have noticed that our shares outstanding have increased despite our buybacks. We're compensating more of our management with restricted stock, further aligning management with shareholders. We have also launched an operational excellence program, which includes resizing and consolidating operations, implementing shared services and enhancing our capabilities to deliver customer programs better and more efficiently. We're implementing a sales excellence program, not only to sell more, we're already selling at a higher rate than last year, but to sell with the right terms, at the right margin, and most importantly, selling the right next generation services. We're also making progress in the acceleration of our next generation capabilities. As I mentioned in our last call, although the market for CRM/BPO continues to grow, the nature of services and the type of customer is rapidly evolving. Growth is in high-value voice. This typically means more complex interactions, coupled with advanced technology, integrated digital channels, and back office BPO. Born digital companies, high-tech banking and retail are some of our growth segments. We're making investments in people, processes and technology to lead the new CRM/BPO market. We have completed our acquisition of RBrasil and Interfile and are proceeding with a closer integration of their technology and operations with those of Atento. We're investing in our people, hiring and training selectively to support our new services and clients. Our next generation services are already offsetting the clients in traditional voice business. As we streamline and enhance the effectiveness of our operations and develop the assets that we need for the next generation services, we have incurred extraordinary costs of around $21 million during the first six months of 2019, a transition year for us. As we noted earlier, we're tracking well to the forecasted $25 million to $35 million in extraordinary costs for the year.  We expect to fund these investments as extraordinary items from operating cash flow, which we expect to continue improving throughout the year. Although we made considerable progress over the last six months, we still have a lot of work ahead of us to transform Atento, in order to fully capitalize on the market opportunity in front of us, and lead the next generation in customer experience BPO. I'd like to recap my statements today with the following. We feel we have had a very solid second quarter results. We're making good progress against our transformation plan. We're planning to fund the plan from operating cash flow. And based on those three points, we feel very confident to resume share buyback program. And to reiterate our 2019 guidance. We remain confident in our ability to execute against near and long-term opportunities. And with that thought, I would like to turn over the call to Mauricio.
Mauricio Montilha: Thank you, Carlos. Good morning, everyone. As Carlos mentioned, Q2 results were solid with sequential improvement both in revenue and profitability on a normalized basis. Consolidated revenues increased 2.5% year-over-year and was mainly driven by our Brazil business, where revenues rose 3.4%. On a sequential basis, revenues were up 2.7%. Multisector was once again our growth engine, increasing across all regions with a solid 7.3% year-over-year growth and a sequential increase of 3.6%. On a year-to-date basis, Multisector revenue increased nearly 6% accounting for 63% of sales. Due to lower volumes in Brazil and Peru, our Telefonica sales declined 4.5% year-over-year, and 2.8% year-to-date. As we anticipated, our profitability was impacted by $13 million of extraordinary items related to the initiatives Carlos covered earlier in a still challenged busy environment in Americas. Also, reporting under IFRS 16, had a positive impact of $16 million in the quarter and $29.7 million in the first six months of the year. On a normalized basis, our EBITDA margin was 9%, a 70-basis point improvement on a sequential basis from 8.3% in Q1 2019. Year-to-date, normalized EBITDA margin was 8.7%. Moving to the bottom line, when adjusting for certain items, recurring EPS was $0.10. In the second quarter, we generated approximately $25 million in free cash flow before interest and acquisitions, compared to a negative $38 million in the first quarter. At the end of the period, net debt stood at $406 million, when excluding the $166 million that is reported under IFRS 16. Excluding these accounting effect, our debt leverage was 2.9x or 2.5x when also excluding the extraordinary items. We also improved our capital structure with a bond retap in April, reducing cost of capital by retiring local debt and releasing revolving credit facilities. Moving to the regions, Brazil revenues increased by 3.4% in the quarter, driven by 7.2% expansion of our Multisector sales. On a sequential basis, Multisector was up 1.7%. Year-to-date Multisector sales were up 7.8% accounting for 71% of revenue in Brazil and nearly 2 percentage point increase. Multisector growth continues to be fueled by financial service clients, mainly from volume ramp up of new contracts signed last year. Growth also came from born digital companies.  Our Telefonica sales in Brazil declined 5% during the second quarter and by 2% on a six-month basis. Our second quarter and six months adjusted EBITDA margin expanded to 12.6% and 12.7%, respectively. On a normalized basis, when adjusting for extraordinary items and effects of IFRS 16, profitability was 9.8% in the quarter, 120 basis points expansion year-over-year. This improvement reflected adjustments we made in the business and a better revenue mix. Moving to Americas, Argentina, and Mexico business conditions continues to be challenged, but Multisector growth established a base for growth in the future. Our revenues in the Americas were flat year-over-year and down 1.3% on a year-to-date basis. Multisector sales increased 6.2% in Q2 and 7.5% sequentially. Recovering from 2.7% decrease in Q1 2019. Higher volumes in Chile and Colombia were partially offset by lower volumes in Mexico. As a percentage of total sales our Multisector business was just over 62%, a 2.9 percentage point increase on a comparable year-to-date basis. Our Telefonica sales decreased 8.3% in the quarter and 7.0% over the six months, mostly due to lower volumes in Peru. Our reported EBITDA margins were 10.8% and 9.8% in Q2 and year-to-date respectively, but on a normalized base they both would have been around 8.9%. Extraordinary items in Q2 were related mostly to rightsizing operations in Mexico and Chile. Like Brazil, EMEA also made a healthy contribution to revenue growth. Second quarter EMEA revenues grew 5.7% year-over-year, and 5.5% on a year-to-date basis. Multisector sales increased 9.1% and 8.3%, respectively. The increases reflect new programs done in the quarter, particularly in utilities sector. As a percentage of revenue in the region, Multisector sales expanded 1 percentage point to nearly 40%. Our Telefonica sales increased 3.6% in the quarter and 3.7% on a six months basis. For the quarter, our adjusted EBITDA margin fell slightly to 9% and rose slightly year-to-date to 9.6%.  Excluding the extraordinary items and the effects of IFRS 16, our margin would have been 6.2% and 7.2%, respectively. These declines came despite revenue growth due to our low utilization rate in specific client programs, the resulting overcapacity will be reduced in coming quarters. Extraordinary items in EMEA were related to investments in training people for our Digital Capability. Looking at the cash flow, our second quarter free cash flow before acquisitions and net finance expenses was $24.6 million, despite extraordinary items. This good result allowed us to fund acquisitions of the remaining stakes of RBrasil and Interfile for $15 million, and now we own 100% of both companies. During the first six months, cash CapEx was 2.6% of revenues, compared to 3% in last year's comparable period. However, we still expect this measure to end the year within our guidance range of 3.5% to 4.5%. The good cash flow profile combined with the improved capital structure, which I will detail in the next slide, allowed us to resume our share buyback program by late June, acquiring 214,000 shares in the quarter. Additionally, our Board of Directors approved the extension of buyback program to the end of May 2020. This demonstrates management confidence in the perspectives of the business.  Turning to our balance sheet, cash and cash equivalents stood at $117 million, which undrawn revolving credit facilities of $85 million. Our implying liquidity is roughly $200 million. On the capital structure side, our net debt at the end of the quarter was $406 million, excluded the effects of IFRS 16. The average maturity of this debt is three years and at an average cost of 6.9% per annum. Our net leverage was 2.4x excluding impacts from both IFRS 16 and extraordinary items. As I mentioned earlier, we raised $100 million by retapping our 2022 bond. We used a portion of this capital raised to refinance $35 million of Brazil local debt and released $28 million in revolving credit facilities. This improved capital structures allow us not only to make the investments transforming the company, but also to fund future growth. That concludes my prepared remarks. Let's open the call for questions.
Operator: Thank you. [Operator Instructions] Our first question today coming from Vitor Tomita from Itau. Your line is now live.
Vitor Tomita: Good morning, Carlos, Mauricio, Shay. I have two questions on our side. First, if you could elaborate on that volume increase in Chile and Colombia and on what type of clients and services generated this growth? That would be my first question. And the second would be, if you could give us an update on the competitive environment across LatAm for both traditional and higher value-added solutions? Thank you.
Carlos López-Abadía: Let me – this Carlos, let me start with the last, first. The competitive environment in Latin America, particularly, as you probably know, we have a very good position in most of the markets where we compete. We are number 1, number 2 in most of the markets in Latin America. So, from that perspective, I am fairly pleased where we stand. The competitive market in Latin America, the way it's evolving, is not that different from what we have seen in the U.S. and in other places, perhaps with the – in some areas with some lag. But the environment is changing a lot in our sector. The type of services that our clients are demanding and the type of plans, where the growth is, is changing. Overall, the market is growing. But the new services there, where we see the growth for us is in primarily three areas, which I have emphasized, which is where we are focusing on a go to forward basis. One is a complex, high value voice. Another one is people use the term digital liberally. But let me be more specific. The second area is the integrated, what I call, the integrated multi-channel, the capability of serving the – our customers' customers using a variety of digital and voice channels. And finally, back office. Back office is very important in the digital world, because allows – allows it to complete transactions and offer our customers and our customers' customers an end-to-end service. Those tend to be the thee areas that we see these growth much more than the traditional services, where we see volume declines. The good news is that we are already offsetting those volume declines with the growth in the right places, as I mentioned in my remarks and Mauricio emphasized. We've seen growth pretty much across all of our markets and overall, and particularly in Multisector, which is where the customers – that the clients that where we see the growth and impact for us tend to be particularly digital born companies – born digital companies [Technical Difficulty] and more traditional telecom etcetera. So, those are probably the big change that we highlight, they're happening worldwide, they're happening as well in our markets in Latin America. Mauricio, do you want take then?
Mauricio Montilha: Yes, just an additional comment. When we talk about, specifically about Chile and Colombia, the majority of growth is coming from new clients who have been winning, particularly at the end of last year and also very good run rate of commercial activity this year. Most of them are not doubtful and Chile, particularly its financial sector. [Indiscernible] we never had a very good representation, but we will be – making, very good I'll say, a progress on that. The same for Colombia, Colombia is more a variety of clients on both sectors. But they are all focused, majority is coming from new clients winning particularly end of this last year and the beginning of this year.
Vitor Tomita: Very clear. Thank you.
Operator: Thank you. Our next question today is coming from Vincent Colicchio from Barrington Research. Your line is now live.
Vincent Colicchio: Yes Carlos, do you have any visibility to stabilization on the communications side or will that continue to be – continue to decline rapidly as you grow in some of these other areas you mentioned.
Carlos López-Abadía: When you say the communication side, you mean telecom sector companies?
Vincent Colicchio: Yes, yes.
Carlos López-Abadía: Yes, the telecom sector is a challenging one, not just for us, for everyone worldwide. I think quite frankly we're probably doing as well, if not better than most competitors in that sector. But the traditional sector, traditional business in telecom tends to be relatively low value, simple transactions that are probably better for OFAC if they are – mostly automated and that's what is happening, right. So, there is also a good amount of volume and good growth in that sector in the non-traditional services. And some of our largest clients we're doing very interesting new services such as things like opening a new inside sales channel. We're doing some of the largest RPA automation projects worldwide with some of our telecom clients. So much so that in Spain we're developing a specific capability in RPA. So, there's also good things happening in the telecom sector. But the traditional voice services, the simple ones, the simple transactions, those are being automated away and that – those volume decreases, we should see them continue across the sector and across the world.
Vincent Colicchio: In terms of high-value services, and in terms of back-office activities, have you introduced or plan to introduce new services? Or are you expecting growth from some of the areas where you've been in the past?
Carlos López-Abadía: Actually both. We have some pretty decent growth already in back-office services, but we are focusing on introduction of new services. Some of the – when I say introduction of new services, a lot of the things that we are focusing on are services that we have already been successful in one or two clients. We are focusing on immediately is, hey, let's take what we know and that works, and we know how to do into other places. So, rather than inventing new services we're focusing on services that we have already been successful with in one or two places. But we're doing both. We are putting a lot of emphasis in developing those areas and some of the investments that we've, myself and Mauricio have mentioned are strictly directed at enhancing those capabilities.
Vincent Colicchio: Okay, thank you.
Operator: Thank you. [Operator Instructions] Our next question is coming from Beltran Palazuelo from Santalucia. Your line is now live.
Beltran Palazuelo: Hello Carlos, Mauricio, and Shay. Thank you for taking my question. I have a little question regarding the 25 million to 35 million, let's say restructuring or transforming costs, that affects, let's say like 1.6% or 1.7% to the margin this year. If you can give a little bit more color apart – in the next year, apart from gaining the margin because supposedly there will be no one, of course. What return does these costs or investments bring to Atento? Apart from this 1.7% or 1.6% margin increase for no one-offs, how much margin increase if the sector stays the same, no further deterioration? What margin increase do you expect next year with respect to this year?
Carlos López-Abadía: So, let me try to address that. So, in that bucket of investment there is a variety of items. Some of them are very simple and very minimal to relatively simple financial analysis. There's some site consolidation, some restructuring behind which we have very, very solid business cases that purely on a financial perspective they have significant NPB. Those business cases, you're very familiar with them. They tend to pay off anywhere between one and three years, in let's say a two-year impact. There's another collection of items, including the ones that I mentioned in the pervious – answering my previous question, which are more investments for example in digital and capabilities in sales etc. Those are less easily amenable to strict financial analysis. But also, those are the ones that have a very significant potential way beyond a simple financial case. We expect those to form the basis of the capability that we're building in Atento. Some of those are already paying off, so if you're thinking in terms of when will they pay off. For example, some of the investments we make in the definition, the development of the new services and training of our sales force to sell those, we're already seeing some results. We have a significant uptick in born [digital company] wins and the right type of services. In fact, our sales, this first half of the year was 55% above last year. So, some of those are less amenable to the financial – to rigorous financial case, they're already paying off. Some of those will take a bit longer, but those are the ones that probably will have the biggest pay off. For example, we are making significant changes in the way we deliver services to our clients.  We have found great opportunities in terms of shared services across our delivery organization. Manage better the way we manage contracts or programs for customers. Those will allow us not only into next year, but years thereafter the capability of delivering at the lower cost point much better quality to our clients. So, those would take a longer time to – for the pay off. But the value of those will be significantly higher.
Beltran Palazuelo: Okay, thank you for your detailed answer. So, is it a possibility let's say, for next year, if we get the 11% to 12%, let's say it's 11.5% and you get 1.6% and then you say some of those investments are three years? So, is it a possibility that have margins over 13% with IFRS or you're not that confident?
Carlos López-Abadía: We're pretty confident on the plan that we have and we will be providing guidance for the next year and probably two years in advance. We have a three-year plan that we're working on. The intention is to provide you with guidance as specific to next year at our investor conference. We're planning to do that early November – late October, early November.  We thought about doing it in September. But we want to precisely to answer very strongly the questions that you're asking to have our Q3 results done. And be able to not just for our confidence, but also for yours to be able to speak to the resources that we have and the track that we are – the track record that we're following in giving you that guidance. But the intention is to give you that up to Q3.
Beltran Palazuelo: Thank you very much for the hard work – for the answer. Thank you.
Operator: Thank you. [Operator Instructions] Ladies and gentlemen, we've reached the end of our question-and-answer session. I'd like to turn the floor back over for any further or closing comments.
Carlos López-Abadía: Not big closing comments from me. I want to thank everyone and just want to highlight the points that we had in the summary. We feel we had solid second quarter results. We're making very good progress since our transformation plan. And we plan to fund that plan from operating cash flow. We're getting confidence from all of the above and we are as a result resuming. We have resumed in June our share buyback program, which we intend to continue. And we reiterate today, the guidance that we have given you before. So, with that, thank you very much and appreciate your time and have a great day.
Operator: Thank you. That does conclude today’s teleconference. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.